Operator: Greetings. And welcome to Azenta, Inc. Q1 2026 Financial Results. During the presentation, all participants will be in listen-only mode. Afterwards, we will conduct a question and answer session. At that time, if you have a question, please press the star followed by one. As a reminder, this conference is being recorded Wednesday, 02/04/2026. I will now turn the conference over to Yvonne Perron, Vice President FP&A and Investor Relations.
Yvonne Perron: Thank you, operator, and good morning to everyone on the line today. We would like to welcome you to our earnings conference call for the 2026. Our first quarter earnings press release was issued before the open of the market today and is available on our Investor Relations website located at investors.azenta.com in addition to the supplementary PowerPoint slides that will be used during the prepared remarks today. Please note that effective 2025, the results of B Medical Systems are treated as discontinued operations. I would like to remind everyone that during the course of the call, we will be making a number of forward-looking statements within the meaning of the Private Litigation Securities Act of 1995. There are many factors that may cause actual financial results or other events to differ from those identified in such forward-looking statements. I would refer you to the section of our earnings release titled Safe Harbor Statement, the Safe Harbor Slide on the aforementioned PowerPoint presentation on our website, and on our various filings with the SEC, including our annual reports on Form 10-K, and our quarterly reports on Form 10-Q. We make no obligation to update these statements should future financial data or events occur that differ from the forward-looking statements presented today. We may refer to a number of non-GAAP financial measures which are used in addition to and in conjunction with results presented in accordance with GAAP. We believe the non-GAAP measures provide an additional way of viewing aspects of our operations and performance but when considered with GAAP financial results, and the reconciliation of GAAP measures, they provide an even more complete understanding of the Azenta business. Non-GAAP measures should not be relied upon to the exclusion of the GAAP measures themselves. On the call with me today is our President and Chief Executive Officer, John Marotta, and Executive Vice President and Chief Financial Officer, Laurence Flynn. We will open the call with remarks from John, then Laurence will provide a detailed look into our financial results and our outlook for fiscal year 2026. We will then take your questions at the end of the prepared remarks. With that, I would like to turn the call over to our CEO, John Marotta.
John Marotta: Thank you, Yvonne. Good morning, everyone, and thank you for joining us today for our first quarter earnings call. As we start fiscal 2026, I want to acknowledge the focus, discipline, and execution our teams continue to demonstrate across Azenta. Their commitment to serving our customers and continuously improving how we operate is central to our momentum and is driving meaningful progress across the business. Because of their efforts, we are entering the year well-positioned for continued success. Together, we are building a stronger, more agile, and high-performing Azenta. As I've said before, our turnaround continues, and it will not be a straight line. No turnaround is. After establishing a stronger organization and structural foundation last year, we are accelerating efforts to streamline processes and elevate performance. While macro conditions remain mixed, we enter the year with a much stronger foundation, clearer accountability, and a sharper strategic focus. This is the playbook for a successful turnaround, and I am confident in the path we are taking. Our priorities for 2026 are clear: embed operational excellence throughout the organization, accelerate growth, expand margins, and strategic and disciplined capital deployment. These are the pillars that will drive Azenta to outperform the market and deliver long-term value creation for our customers, employees, and our shareholders. In the first quarter, organic revenue declined in line with our expectations, down approximately 1%. As we discussed last quarter, our outlook incorporated continued uncertainty in the macro environment, particularly around capital spending, and academia and government funding. And those dynamics largely played out as anticipated. From a market perspective, conditions remain uneven. Capital spending decisions continue to be cautious across parts of the life sciences ecosystem. We see positive momentum across Europe, and while the US is still slow, we are cautiously optimistic with improvement in the capital markets as well as renewed M&A activity. Bookings during the quarter were impacted by weak capital spending and the government shutdown at the end of the calendar year. While this is causing timing shifts, we expect these orders to be recognized in future quarters and do not anticipate it to impact the full-year results. Over the coming months, we expect greater clarity around government academic funding, which we believe will offer greater stability across end markets broadly. 2026 is shaping up to be a transitional year for the life sciences sector. With macro conditions and sentiment being mixed, yet the underlying industry tailwinds remain consistent. Last year, we demonstrated Azenta's ability to deliver on our commitments even in a challenging environment, proving that we can execute with discipline and precision. These strengths provide a solid foundation as we advance our turnaround initiatives this year. We anticipate acceleration in 2026 as delayed approvals are processed, capital investment ramps, and our growth investments begin to take hold. Importantly, the current environment highlights why Azenta is the partner of choice for life sciences customers navigating complexity and change. Our differentiated solutions and deep expertise uniquely position Azenta to help our customers optimize operations, accelerate innovation, and manage resources more effectively. We are the trusted partner for organizations seeking scale, reliability, and differentiation with an expert team that knows the science, understands the workflows, and delivers results for our customers. The combination of expertise, technology, and operational discipline enables Azenta to turn challenges into opportunities. Operational excellence is the engine behind everything we do. The Azenta business system continues to guide how we operate, driving measurable improvements in on-time delivery, quality, and productivity across operations, commercial, and support functions. During the quarter, we advanced ABS deployment through Kaizen's daily management routines and problem-solving that are taking root. Teams across the organization are embracing a continuous improvement mindset, proactively identifying opportunities and shaping solutions that enhance efficiency and execution company-wide. ABS is not just a set of processes; it's a differentiator for Azenta, enabling sustainable, scalable, operational excellence that supports both growth and margin expansion and reinforces our ability to deliver for our customers and our shareholders alike. We also continue to benefit from the simplified and decentralized operating model implemented last year. Clearer accountability at the operating company levels supports faster decision-making and more disciplined execution. Productivity gains are being reinvested in line with our priorities, including commercial excellence, innovation, and customer-facing capabilities. Our core growth investments in scaling biorepositories, regionalizing gene synthesis, and investing in technology and automation are gaining traction. During the quarter, we announced the definitive agreement for the sale of B Medical, which is expected to close on or before March 31. This transaction further sharpens our focus on our core portfolio of differentiated solutions and enhances our financial flexibility, supporting our strategic approach to future capital allocation. Combined with the $250 million share repurchase authorization announced at Investor Day, these actions reflect our ongoing commitment to delivering value to our shareholders while strategically deploying capital. Let me cover a bit more in the first quarter performance and our full-year outlook. As expected, on a year-over-year basis, organic revenue declined approximately 1%. Within Multiomics, next-generation sequencing and gene synthesis showed growth, reflecting continued customer demand for advanced workflows and the value of our differentiated solutions. In sample management solutions, we saw solid growth in biorepositories, demonstrating strong execution and sustained customer adoption. While our automated solutions line remained under pressure, particularly in stores, due to ongoing budget constraints. As I've said, turnarounds are never linear and may be lumpy. In the quarter, we faced higher costs in automated stores on late-stage projects related to quality issues that remained from last year. We're working closely with our customers to make it right and expect to lapse these issues post the second quarter. In Multiomics, we experienced regional mix dynamics with softness in North America leading to lab inefficiency. We are taking decisive actions to address these pressures. We expect margins to improve as we progress through the second half of the year and execute on the transformation of our company. Laurence will go into more detail on our quarterly financial performance. Lastly, as you know, we do not guide quarterly. Our operating rhythm in the business is to drive performance monthly. Yes, our job just got harder. And looking ahead, we are committed to our full-year 2026 guidance of 3% to 5% organic revenue growth and adjusted EBITDA margin expansion of approximately 300 basis points. While macro conditions remain mixed, we view 2026 as a transitional year for the sector and we are confident that our initiatives, including the revamped commercial engine, strong leadership, and disciplined execution, will gain traction as the year progresses. With that, I'll turn it over to Laurence to walk through the financials in more detail.
Laurence Flynn: Thank you, John, and good morning. I'll begin with our Q1 2026 fiscal results and the key financial drivers, then cover segment performance, our balance sheet, and fiscal 2026 guidance. Today's results exclude B Medical Systems, which is classified in discontinued operations unless stated otherwise. During the quarter, we recorded an additional $10 million non-cash loss related to assets held for sale. As communicated in December, we expect the sale to close on or before 03/31/2026. To supplement my remarks today, I will refer to the slide deck available on our website. Turning to Slide three, Total revenue was $149 million, up 1% reported and down 1% organically with a 2% headwind from foreign exchange. Results reflect mixed performance across the portfolio with strong growth in biorepositories and next-generation sequencing, partially offset by softness in our capital-intensive businesses. Overall, these trends are consistent with our initial expectations for the quarter and reflect the impact of the continued uncertainty in the macro environment. Non-GAAP EPS for the first quarter was $0.09. Adjusted EBITDA margins were 8.5%, down approximately 230 basis points year over year, impacted by pressures in gross margin. Despite this, we remain confident in the opportunity for margin expansion in 2026 and beyond. We are focused on leveraging disciplined cost management while optimizing operations as we continue transforming the company. Free cash flow, including B Medical, was $15 million for the quarter, driven by increased customer deposits and deferred revenue, partially offset by usage in working capital. We ended the quarter in a strong financial position with $571 million in cash, cash equivalents, and marketable securities, an increase of $25 million quarter to quarter. This provides us with the flexibility to deploy capital and return value to our shareholders as we progress through 2026. In December 2025, our Board approved a $250 million share repurchase authorization. We remain committed to maintaining financial flexibility to support disciplined, strategic capital deployment that drives long-term value creation. Now let's turn to slide four to take a deeper look at our results in the quarter. Total revenue was $149 million, up 1% reported and down 1% organically, with a 2% headwind from foreign exchange. Multiomics was supported by next-generation sequencing, which contributed to year-over-year growth, as well as gains in gene synthesis, which was partially offset by continued softness in Sanger sequencing. Within Sample Management Solutions, growth in biorepositories and consumables and instruments was offset by a decline in automated stores and cryo. Overall, these trends are consistent with our expectations reflecting macro uncertainty. Turning to gross margin, we delivered 44.1% for the quarter, down 360 basis points versus the prior year. The decline was primarily due to underutilized lab capacity driven by lower North America volumes, coupled with additional costs related to rework on several automated storage projects. Despite these headwinds, we continue to make meaningful progress on our ABS efficiency initiatives that position us well for margin expansion over time. Adjusted EBITDA was $13 million, representing an 8.5% margin, a contraction of approximately 230 basis points driven by the gross margin pressures I just described. Our operational transformation and disciplined cost management journey continues, as evidenced in the $5 million decline in SG&A year over year, and more importantly in G&A. Again, non-GAAP EPS for the first quarter was $0.09 per share. With that, let's turn to Slide five for a review of our segment quarterly results starting with Sample Management Solutions, or SMS. Sample Management Solutions delivered revenue of $81 million for the quarter, flat on a reported basis and down 2% organically. Growth in biorepositories demonstrated strong momentum with early wins in our commercial growth initiatives. This growth was partially offset by expected softness in automated stores and cryo, due to slower bookings from macro-driven budget constraints. Consumables and instruments delivered modest year-over-year growth reflecting steady demand and the ongoing contribution of these products to the overall portfolio. Turning to gross margin for Sample Management Solutions, we delivered 45.4% for the quarter, down 370 basis points versus the prior year. The decline was primarily driven by higher rework costs incurred on automated stores projects and the negative impact of a nonrecurring item. The incremental automated stores cost stems from quality issues that we have been addressing through targeted efforts with our customers. We expect our remediation efforts to be completed by the end of the second quarter and to incur a full-year estimated impact between $3 million to $5 million. Turning next to the Multiomics segment. Multiomics revenue for the quarter was $67 million, up 1% on a reported basis and flat organically. Next-generation sequencing continues to benefit from strong customer demand. Gene synthesis growth was supported by strong oligo demand in China. These gains were offset by continued weakness in Sanger sequencing, which declined meaningfully compared to last year. Geographically, Europe and Asia performed strongly, supported by our commercial initiatives and improved execution, with China continuing to perform well with 26% organic growth. North America was softer, reflecting macro-driven budget constraints and the temporary disruption from the government shutdown, which impacted customer activity during the quarter. Multiomics non-GAAP gross margin was 42.6%, down 350 basis points year over year, driven by regional mix and loss leverage from lower North America sales volume. Next, let's turn to Slide six for a review of the balance sheet. As I mentioned, we ended the quarter with $571 million in cash, cash equivalents, and marketable securities. We had no debt outstanding. Capital expenditures for the quarter were approximately $6 million, reflecting continued investment in automation, capacity expansion, and technology to support scalable growth. Turning to guidance on Slide eight. We are reaffirming our guidance for fiscal 2026 with organic revenue growth expected in the range of 3% to 5%. Multiomics is projected to deliver low single-digit growth, while Sample Management Solutions is anticipated to contribute mid-single-digit growth. We continue to expect the second half of the year to accelerate as our commercial investments and growth initiatives gain traction. On the profitability front, we are also reaffirming our target of approximately 300 basis points of year-over-year adjusted EBITDA margin expansion, driven by continued operational efficiencies, disciplined cost management, and scalable operating leverage, as well as over 30% year-over-year improvement in free cash flow generation. Overall, we remain optimistic about the year's progression and committed to the full-year outlook. In closing, we remain encouraged by the progress of our growth initiatives and operational improvements. As we move through fiscal 2026, we remain confident that the strategic priorities outlined at Investor Day provide a clear roadmap to drive sustainable, profitable growth, and long-term value creation for our shareholders. This concludes our prepared remarks. And I will now turn the call over to the operator for questions.
Operator: Thank you, sir. Ladies and gentlemen, if you do have any questions, you will then hear a prompt that your hand has been raised. And should you wish to decline from the polling process, please press star followed by two. If you're using a speakerphone, you will need to lift the handset first before pressing any keys. And out of consideration to other callers and time allotted today, we ask that you please limit yourself to one question and one follow-up. Thank you. And your first question will be from David Saxon at Needham. Please go ahead, David.
David Saxon: Great. Good morning, John and Laurence. Thanks for taking my questions. So I wanted to start on the gross margin. So maybe can you talk about just your level of confidence in getting the SMS margins back to where you want them to be, you know, what's in your control versus, you know, impacted by maybe customer dynamics. And then just on the growth, sorry, EBITDA margin, you reiterated that 300 basis points of margin expansion here. I guess, what's your level of confidence that the GMOM mix is gonna be two hundred and one hundred basis points. OpEx looks like it was below what we were modeling. So does OpEx drive more of the 300 basis points this year?
Laurence Flynn: Yes, David. Good morning.
John Marotta: Good to be with you. Thanks for the question. So let me just pull us back for a second. Around, you know, what's happened since our Investor Day and just kinda talk through that. This will kind of lead into some of the answers to your question. So 18 stores that we had some quality issues. We're starting to lap some of those. We've got only a few more that we've gotta continue to go and solve for. A lot of this has been more noticeable this year due to what we've been flagging with the investor community around softness on the first half. So less of those tailwinds there. And then lastly, Azenta-specific developments is kind of this North America reboot commercially. Both in Multiomics and SMS. We had been we're way ahead on our reboot in Europe, in The Middle East, in parts of APAC, North America lags in certain areas. That's really kind of an update there. And market-wise, listen, slower than expected in North America. Government shutdown impact, that was pretty it's pretty well understood right now. Sanger continues to slide from an end market perspective, and you've got some geopolitical instability. I think in terms of our confidence, we're continuing to reiterate our guidance for the full year. What I can tell you is, yes, our job just got harder on the margin line. But that's our job. We're pulling some hard levers here. We're gonna continue to do that. We've been very clear that we're not managing this business on the quarter. We're not going to do that within the three years of our turnaround that we've signaled very strongly at our Investor Day, so we're confident. And I'll let Laurence get into those particulars of that, David, but thanks for the question.
Laurence Flynn: Yeah, David. This is Laurence. Maybe let's just talk a little bit about Q1 and give you a bit of a breakdown. So as you know, adjusted EBITDA was 12.7 in the first quarter, or about 8.5%, which was down $3.3 million versus prior year. So, broadly, the decline of the components of the decline were $2 million related to the store's quality issues that John talked about. Really, we anticipate these quality issues to be fixed by the '2. Secondly, there's about a million dollars related to some of the lab inefficiencies that we saw, particularly in North America. As you saw from a top-line perspective, we met kinda what we expected, but certainly the mix was leaning towards Asia than North America. So, certainly, that impacted some of our lab inefficiency in the region. And then lastly, there was about $700,000 in nonrecurring charges related to inventory adjustments. So when you look at that, those are kind of the broad strokes of the Q1 decline. One you know, what I'd say is particularly around your question on the myths on the overall profitability in the model, we still hold firm that gross profit would be around this 200 basis points in the GP side and a 100 basis points. And when you think about that, that's going to generally stem from half related to sales volume. As we talked about on Investor Day, there's a second-half ramp. We've always tried to telegraph that you know, we are fully aware that the first half would be softer than kind of our traditional phasing. Just because we are kind of putting all this growth investments in place. So, again, we're still holding to the 200 on gross profit, 100. Because of volume. ABS, lean productivity really kind of taking hold. And then price.
David Saxon: That was super helpful. So thanks to both of you. And then my follow-up was just on capital spending in that academic and government group, I guess, can you characterize the conversations you've had with customers in those segments during the quarter and just level of confidence that that will improve and, you know, how that will drive North America demand and growth? So much.
John Marotta: Sure, David. Yeah. Listen. Great conversations with those that end market in terms of customers. I think we so from a European perspective, really, really a lot of momentum in Europe and The Middle East. In the US, I will tell you there's a lot of green shoots. I mean, I think the back half, we still feel bullish on that. And the conversations we're having with our academic and government customers are confirmatory at this point. So good momentum there in North America specifically.
Operator: Your next question will be from Matt Stanton at Jefferies. Please go ahead, Matt.
Matt Stanton: Hey, thanks. Maybe just to go back to the second half ramp you guys talked about. I think you talked about for the acceleration in the back half, improvement in the approval process, capital spending ramp, and then growth investments. Could you just talk about level of comfort or visibility into some of those key drivers? And then on the gross margin side, I think you said of 2Q. So $3 million to $5 million was tied to some of these quality issues that will largely be done at the end that implied the absence of that headwind in the back half is kind of a 100 basis point plus step up alone to gross margins. Just wanna make sure I have that clear. Thanks.
John Marotta: Sure. Let me just give you some context around capital spending. Again, we're feeling pretty confident that North America is coming back. We do think this is a back half story. You know, when we talk to our customers and more importantly, our sales team, we are driving a lot of conversations with our sales team at a high frequency. They're feeling pretty bullish right now. And a lot of the programs we're working on specifically in C&I instruments and stores, we continue to gain some momentum there. In terms of growth investments, as you know, our growth investments are specifically in feet on the street, innovation, some productivity gains, and just driving performance in those areas. We continue to ring-fence those investments. We are not coming off of those. We think that, as a part of our, you know, the transformation in the next few years, getting these growth investments now is gonna be pretty meaningful. Specifically, in R&D and innovation. I'm pleased with where the teams are in terms of where these investments have been made. Our hiring around that, and more importantly, to the roadmaps that the teams have on the product side. So pleased around that. Let Laurence talk about the second half ramp and give you some of the specifics there.
Laurence Flynn: Yeah. Hi, Matt. So when we look at overall EBITDA for the year and the 300 the road to the 300 basis points, it's $22 million incremental year on year. And particularly, you know, we talked a bit about with Dave about this kind of 200 basis points, 100 basis points 200 basis points in gross margin, a 100 basis points in OpEx. When you look at the gross margin mix, it's driven by the sales volume. Half of it's gonna be sales volume, what John just talked about. Right? As our sales reps, particularly in North America, start to ramp, in the second half of the year, usually, you know, we brought in north of 25 reps. And usually, they take about three to six months to ramp. So that's kind of in our calculus. The other component in there is around ABS and productivity. Some of these topics we covered at Investor Day. Right? You know, we are having Kaizen events in our labs as well as our shop floors and manufacturing. And that's about 35% of the overall GM improvement. So volume's fifty. ABS is about 35. And then, certainly, we talked a bit about last earnings call is about our price initiatives. That makes up the rest of because gross margin improvement. And that price improvement is particularly focused around SRS, and our C&I businesses. We've put those in place really at the start of the calendar year, and that really starts a ramp in the second half of the year.
Operator: Thank you. Next question will be from Mackie Tok at Stephens. Please go ahead, Mack.
Mackie Tok: Hello, good morning. I appreciate you taking my question. Maybe just follow-up. I appreciate color on the back half ramp. But just given the performance in 1Q, you give us a sense of your expectations for top-line performance in 2Q? And then maybe your expectations around the cadence from 2Q to 3Q?
Laurence Flynn: Yeah. Hey, Mack. So when we look at the second quarter, I you know, certainly, we've talked we first, let me step back and say, look. We're really not guiding quarterly. But when we look at overall revenue wrap, right, you know, again, it's weighted in the second half of the year. And those are really the components there. So you'll probably see an uplift in versus the first quarter but certainly, a lot of what we're gonna see in terms of growth is in the second half.
John Marotta: Yeah, Mack. I mean, we can be helpful and give you some detail, but, again, I just wanna continue to reiterate this the fact that we're just not gonna manage this business quarterly. We are taking a longer-term view on it. And our growth investments continue around sales, marketing, and R&D. That's gonna continue to ramp nicely. Gonna drive that gross margin improvement over time. Gotta get some more volume in here. And then I think once North America comes online, we're gonna be clicking on all cylinders. We're not right now. But that's the journey. I mean, that's part of a turnaround. So we'll be helpful there when we connect here later.
Operator: Did you have a follow-up, Mack?
Mackie Tok: I appreciate it. I'll leave it there for now. I appreciate you taking my questions.
Operator: Thank you. Next question will be from Vijay Kumar at Evercore. Please go ahead, Vijay.
Mackenzie (for Vijay Kumar): Guys, this is Mackenzie on for Vijay. Thanks for taking the questions. First one, I know you called out the government shutdown impact in the quarter, but I was just wondering if you could speak to US academic a little bit more broadly specifically, how are you thinking about performance in this end market given that it seems like NIH budgets will be flat in 2026?
John Marotta: Yeah. So in general, I think what we're seeing is a shift in some of the where the dollars are moving to in terms of universities based on larger projects. I mean, we're seeing a little bit of that. The customer base we have right now with the government shutdown, we saw some of the larger programs just frankly just standing still, and so there was no movement around that. That's been freed up. And so we're now supporting some of those programs. I think in general, things are settling down. There's a clear shift in where that NIH funding is going right now, and we're just continuing to support those programs. On balance, the team is really highly focused on pharma and biotech. I mean, we've always been highly focused on that. I think we continue to do that. Over time. We're always supporting our academic customers and the universities. We think that there's an opportunity specifically with the pressure on Core Labs. And driving productivity on Core Labs, we think that our multiomics business is well-positioned to continue support the Core Lab is in the pressure on getting more research out, getting more data out, and so we're doing that right now. We feel pretty good about that. I think that's gonna continue on, Mackenzie, but thank you for the question.
Mackenzie (for Vijay Kumar): Thanks. That's super helpful. And just to follow-up on that, you talked a little bit about your pharma and biotech customers. What are you seeing from these end markets right now? Is pharma continuing to accelerate? And your peers have talked a little bit more about seeing some positive sentiment from biotech customers. Are you also seeing something similar? Or what should we expect in the latter half of the year?
John Marotta: We are. What I would characterize that end market is there's more clarity there than last year. What do I mean by that? So a lot of restructuring, a lot of there was uncertainty around what programs were gonna continue and what programs were gonna they were gonna double down on and invest behind. I think we've got, you know, our team and the conversations we're having from those customers is clarity. Here's what we're doing. We're moving forward in this direction. And we're clearly seeing that in most of the segments of the in our business.
Operator: Thank you. Ladies and gentlemen, once again, a reminder to please press star followed by one if you have any questions. Thank you. Next question will be from Andrew Cooper at Raymond James. Please go ahead, Andrew.
Andrew Cooper: Maybe just one more kinda nitty gritty on some of the extra cost here on gross margin. So you call out the $3 to $5 million. 50 to 80 basis points or so. Where do you think you can find some of the offset there to achieve the 300 basis point expansion? I know you talked about the job being harder, but where are some of those places that you're looking to find that little bit extra room, or pull it a little bit forward from fiscal '27, and how do we think about kinda what that looks like?
Laurence Flynn: Yeah, Andrew. Thanks for the question. So you know, a couple of things that we have in our favor. And John's right. You know, our job got a little bit harder but we're certainly pulling additional levers. And let me be more helpful on that. Certainly, as we see the second half increase in volumes, particularly around North America, generally, we'll get a better mix. That's number one. Secondly, around ABS and productivity, certainly areas like Kaizen events, in the labs and manufacturing we've actually seen some really good results preliminary that we expect to read through. Other areas such as automation in our biorepositories are being accelerated to help us look at some recoveries. The one thing I would say in a step back is that one of the things we did in fiscal 2025 was to put managers, general managers in place of these businesses. And that's really helped us get laser-focused on operations and optimizing processes. One more two more items I think, you know, we're addressing more acutely is around our fixed cost in our Sanger business. And then finally, in really accelerating opportunities around indirect cost savings. Some of the workshops we run in the last couple of weeks have actually been yielding meaningful opportunities for us to attack it. So, certainly, these have always been in our portfolio of levers to optimize our margin but with some of the particularly the quality issue, we've really started to accelerate these initiatives.
Andrew Cooper: Great. And then maybe just a little bit kinda higher level one. You know, in the past and at the Investor Day, you've talked about the notion of leveraging bundling a little bit more and kind of cross-selling within segments as opposed to necessarily across. Just would love a little bit of an update there. I know it's a noisy end market environment. Kind of across the board right now, but how have those conversations gone as you talk about trying to drive kinda more of that breadth of portfolio at an individual customer level?
John Marotta: Sure, Andrew. So what I would say from a customer perspective, a lot of that bundling is basically within the segments. Okay? So let me be more helpful. Specifically around kind of let's go from a multiomics perspective. The one-stop shop is really important to customers where they can we can read and write genes for them specifically. That bundling is going very well. I mean, from a customer perspective, it's ease of use. We're working on more. We've made more investments, specifically around UX and UI to make that journey a little easier for customers to bundle, using our e-commerce platform. So those investments are in flight. Where we continue to see a lot of strength is in our C&I business, continue to bundle. Instruments and consumables there. We're also seeing bundling with our stores. I mean, if you look at these stores, some of them are 2 to 10 million sample opportunities. Our customers are using our consumables with those. We see high attachment rates in service. I think the teams have done a really nice job in bundling within the segments. That is where our focus is because there's so much there. We don't wanna confuse the organization and bundle up really across the segments right now. There is an opportunity in academic and medical there, but it's an opportunity that we think will solve in different ways. But right now, commercially, we're focused in the segments similar with SRS, our biorepository business. That team has done an excellent job of bundling more product solutions for our existing customers. As you know, we do a real we've got high market share in active clinical trials. And we're doing a lot in manufactured product and some other areas right now. So I'm very pleased with this. I mean, our breadth and our ability to continue to solve some of these issues for our customers where they wanna do business with what's clear to me is pharma and biotech, they're consolidating suppliers. But they wanna do business with partners that are high quality, give them a fair price, but give them a broader reach of products and solutions and we're clearly meeting those needs right now. So hope that helps, Andrew.
Operator: Next is a follow-up from Matt Stanton at Jefferies. Please go ahead, Matt.
Matt Stanton: Hey. Thanks. One on capital deployment. Think the message prior was likely you're unlikely to do deals before B Medical was completed. Now that that's set to hopefully close here shortly, the agreement is in hand. Maybe, John, just talk a little bit about actionability, the funnel, any more color on size of deals. And I know historically, share repurchase have been kind of down the pecking order for capital deployment. But with the $250 million authorization out there, you know, post the Analyst Day, any shift in appetite around repurchases? Thanks.
John Marotta: Yes, Matt. So a couple things to think about. We are constantly comparing our you know, we talked about before is our four levers for capital deployment around gross margin productivity. Growth, specifically M&A and share repurchase. All of our three levers we always compare to buybacks. And we're gonna be pulling all these all four of these levers throughout this journey in the next few years. I can tell you that. And in terms of actionability, we are very busy around M&A right now, and we're very excited about what is in our hands right now. We're gonna continue to put our capital to work in this area. But, again, I think you're gonna see us pull all four of these levels levers. I've mentioned this before. But it's worth repeating. We want our investors to come away and say, hey, listen. These guys are good operators. They've got a grip on the business. Yes. There's not a lot of linearity to turnarounds. But we understand it. They're calling balls and strikes, and they're very straightforward about the journey we're on on the operating side. On the capital allocating side, we also want our investors to come away and say, hey. They're very thoughtful capital allocators. They understand how this works, and we're always looking at those returns versus share repurchase. You know, last point on is I think you're gonna see us pull all four of those levers.
Operator: Next question will be from Paul Knight at KeyBanc. Please go ahead, Paul.
Paul Knight: Hi, John. As you remediated these automatic stores, QC issues, and I think it's what two left out of 18. Or, these permanent fixes, was there a commonality of what you saw in so you know, is this kinda behind us now?
John Marotta: Yeah. Paul, good to hear from you. A thoughtful question. So couple things to think about. I mean, we have been we have been really dealing with this issue since we started. Okay? When we started getting the business, we weren't meeting our customers' needs. 18 stores issues. So that's the last few years of sales we've had these problems in. And, you know, bluntly, you're not delighting your customers, what are we here to do? So we attack this head-on. All 18 of the stores understanding what were our offsets, what do we have to countermeasure, and how do we go out and delight our customers. We've been spending a lot of money around that. I've been personally meeting with our customers all of them, around these stores. So that was the first thing. Is what was the specific issue? How do we go solve that real-time for our customers and get them operational? The second is what is the permanent fix in which we're doing this from a design perspective? I can tell you we've got great R&D teams. Okay? So what was the issue ultimately? We had too much demand. The teams were being stretched, and we weren't structurally aligned around serving our customers. What do you have to do there? First thing is structurally align yourself to go win for the customer. One, is around new product development. Two is around POC. That business is a POC business. Percentage of completion. And three around sustaining engineering. We have restructured that R&D team. We have teams that wake up every day around MPD, MPI, POC separately, and sustaining engineering. Okay? That was the big step that we've made. There's some tweaks on the design side. All of that has been implemented. And I'm pleased to say that moving forward here, ADS has really helped us specifically around getting line of sight on this POC, getting us more in control, and going out and delighting our customers and putting our best foot forward. So we've done that. We are lapping that. Listen. There's always a cost of poor quality. Whether that is you delay your NPI projects, whether you are not meeting the customer's needs from a brand perspective, but we have gone in and we're meeting those customers where they are today. I've personally met with them. And it just is part of the turnaround journey, Paul. But I'm very, very pleased that how the team has responded. I mean, that's the mark of a good organization is how do you respond. This adversity. How are the customers understanding this? And are you making it right? The bottom line is we're doing that right now. So we're lapping it. Some of these have taken more time than we expected. But we've got a grip on that right now, and there's clear line of sight there. So hopefully that helps, Paul.
Paul Knight: Yeah. Last question would be Sanger is down, but what was the growth of NexGen? And is the increasing accuracy of NexGen really one of the reasons why Sanger finally is, maybe shrinking as a part of market?
John Marotta: Yeah. You know, this Sanger we've been we've been talking about Sanger for a while here. I'd rather not, but let's address it. So the next-gen plasma EZ, I mean, that is a mid-single-digit grower for us. We worked doubling that size of that business. We told the team and we invested heavily behind it, said this shouldn't be a hobby for us. We have a broad footprint 4,000 we've got 4,000 drop boxes globally. We should have been investing in this earlier. We are now very heavily, and we're growing it nicely. So we're doubling our growth there. That's one part of it. Sanger, as you know, I mean, I have to tell you, Paul. I've been out, talked to a lot of customers. I've talked to a lot of our sales reps. We're triangulating in on this. It's not going away. There's a clear need from an end market perspective and a customer perspective with Sanger. Then the question is, where's the bottom and how do you right-size your cost structure? The bottom line is we don't know where the bottom is yet in Sanger, but we are rightsizing our cost structure around that. So I would tell you that's more on the come. But in general, we're well aware of what's going on in Sanger, and more importantly, we're more focused around growth in terms of that plasma EZ to offset that. I'll tell you the team's done a nice job there. You know, it was an area bluntly where when we came into the business, last year, said, what's going on here? You know? We need to be investing heavily here, and we've done that.
Operator: Thank you. Next question will be from Brendan Smith at TD Cowen. Please go ahead, Brendan.
Brendan Smith: Maybe just first, actually, on the regionalization of multiomics and NGS services. How should we maybe think about impact to margins there relative to kind of what you're doing in biorepositories and automated stores just over the next couple of quarters? Especially in the context of your commentary on margin expansion this year, really just trying to kind of understand the relative pushes and pulls, I guess, across segments as you're restructuring. And then I have a follow-up.
John Marotta: Sure, Brendan. Always good to hear from you. So Laurence can get into the particulars around this, but all of that's forecasted good line of sight into what we wanna do there. From a regionalization perspective, specifically around synthesis. I mean, we're very pleased with how we are moving into that strategy right now and executing on that strategy. I think you're gonna be hearing more about that in the coming months. You know, our gross margin, we make we do well. I mean, that's a 65 plus gross margin product category for us. You know, we're seeing some North America share loss in synthesis, but we're also seeing some traction in certain areas right now in North America. So there's a bit of an offset right now. Specifically. I think you're gonna see gross margin improving in certain areas because of our automation investments, but some of the technology side that we've got in our hands as well. So more to come on that. Specifically.
Laurence Flynn: Yeah. Brendan, I you know, certainly, really pleased with what the China team is doing. But when you look at kind of the dynamic of Asia and North America there, lower margins in total for multiomics. As we talked about, certainly, we've got a North America sales team reboot here. Certainly will read through in the second half of year. So you're gonna see a significant ramp in North America, which really does translate to a higher gross margin profile overall.
Brendan Smith: Great. Thanks, guys. And, actually, you just took question out of my mouth. Just on the NGS strength in China, I think you noted 26% of organic growth there, if I'm not mistaken. So can you just quickly maybe give us a sense of what you're seeing that's kind of underpinning that? And if you expect kind of growth at that rate to continue over '26? Thanks, guys.
John Marotta: You bet. Biotech and pharma are I mean, they're really we're seeing a lot of momentum in that segment. We've always been well-positioned because of our China for China brands, go to market, very regional. We show up. I mean, our China team is fantastic. If you look at kind of the framework that we look at, in our business in general, it's people structure, process, performance. That team is hitting on all cylinders. And so you're seeing that read through on the results right now, of course. In other regions, it's a mixed bag right now because we're in the turnaround. But our China team shows up really well with our customers in pharma and biotech. A lot of investment going into those end markets right now. As you know, geopolitically, I think and we've shared this with you all separately, but I think it merits a broader comment here publicly. You know, where I think geopolitically, there's a lot of focus around kind of 5G, 6G quantum AI, and semi biotech and life sciences. We're also seeing that read through. And China is very much investing behind that life sciences and biotech sector, and that's where our team shows up really, really well.
Operator: Thank you. Ladies and gentlemen, at this time, we have no other questions registered. So I would like to turn the call back over to CEO, John Marotta.
John Marotta: Very good. Thank you all. And first off, I want to thank the team as always. I mean, nothing gets done without our team showing up every single day, and we're really proud of the direction we're going in in our leaders here. As well as our individual team members. I wanna thank you for joining our earnings call today. In summary, we're continuing the work we're doing in the company-wide turnaround and transformation. This is an important journey we're on, and we're very excited about creating long-term shareholder value over the next few years. Thank you again.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines. Enjoy the rest of your day.